Operator: Good afternoon, everyone. Thank you for joining us on today’s webinar. Before we begin, I’d like to announce that we will be referring to today’s earnings call -- today’s earnings release, sorry, which was sent to the newswires earlier this afternoon. I’d also like to remind everyone that this conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the company’s filings with the SEC and SEDAR and the company does not assume any obligation to update information contained in this call. During the webinar, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of or superior to financial information prepared in accordance with GAAP and should be read in conjunction with the company’s financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the company’s presentation may differ from similarly titled measures presented by other companies. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release. Also I would like to mention that following the presentation, there will be a question-and-answer session during which you can submit questions by selecting the raise hand icon at the bottom of your screen. The questions will be posed in the order that they are received and at which point you will be prompted-only your microphone before you speak in. With that, I’d like to turn the call over to your host, Fred Vandenberg, Chief Executive Officer.
Fred Vandenberg: Good afternoon, everyone. Today, we have myself, Fred Vandenberg, and Allan Benedict, who leads our Business Development Group and Marketing Group. We are going to follow the same format that we have in the past. We will start off with our financial results. Then go -- I will turn it over to Allan and he will talk about business development and then I will come back and talk about looking forward. So revenue for the quarter increased by a little. As we discussed previously, we had made some price adjustments and started building out our international lists. This in combination with the recovery of our independent label led to the overall increase of 7%. But while the euro is recovering, it’s still relatively low to the U.S. dollar compared to the prior year, so we are almost flat for the quarter. Expenditures are down 20%, as we have talked about in the past, we started capitalizing software development costs in the prior period and we have just continued to grow that investment. Expenditures, if you ignore the capitalization or add the capitalized costs to our total expenditures for both periods, our costs did fall by still 5%, but that 5% really is fully explained by foreign exchange as the U.S. dollar has strengthened relative to the euro and to the Canadian dollar, which the majority of our expenses are in. EBITDA for the quarter is $64K. If we adjust the EBITDA for the capitalized costs, we have turned what was a loss of about $191K in the prior quarter to a loss of about $137K. But for the year, because Q2 is our seasonal lowest quarter in terms of revenue, it’s pretty much flat for the year-to-date. With that, I will turn it over to Allan.
Allan Benedict: Thank you, Fred. Good afternoon, everyone. Last quarter, I had talked about the trend we were seeing with the independent revenue, specifically among artists and smaller dependent labels. Just as a refresher, independent revenue in terms of our numbers there anything from a client that is not associated with one of the major labels, those being Universal, Warner and Sony. The decline we were seeing was isolated to individual artists and small shops, so management companies or labels that might have a roster of one or two artists and are off cycle more than their on cycle. As we thought with the industry stabilizing more and more after COVID, things are turning a little bit more to normal, touring opening up as well, but we are seeing a rebound in the independent space. Specifically, we saw this rebound really start to pick up steam late in the quarter, which, as Fred mentioned a moment ago, it falls in line with the usual ebb and flow and you can factor in things like Christmas in the beginning of the year and that. And for the quarter, independent revenue is essentially level with what we saw in 2022, but isolating February globally, the independent revenue increased by nearly 8% for the month and if we narrow that down to U.S.-only independents, we saw a 20% increase compared to February 2022. Now there’s sure to be some ebb and flow with the independents throughout the rest of the year as we go into the summer months, things like new tours and festivals will start up and we will see a little up and down, but we expect this rebound to continue and especially with our focus on advancing the product that Fred mentioned earlier and he will talk about a little more in a bit. Also at the beginning of this call, Fred mentioned the creation of more international lists and so I want to dig a little deeper into that. We have talked in the past about revenue being the result of more releases being sent to more people, and a common question we hear from users and clients, especially in the artist segment, is how they can grow beyond their home territory and what the best way to tackle this is. We wanted to address this and begin working with our list management team on creating international bundles of list so that we can offer a package to help clients cover as much ground as possible as easily as possible. For example, if I am an artist putting out a country single and I want to make sure I am getting maximum exposure, utilizing an international country bundle will deliver my release to every recipient in Plan B’s global network that is looking for country content regardless of where they are located or which type of radio station or a media company or anything like that, that they work for. In November of last year, we launched with nine international genre bundles and we just recently added our 10th, which is what I am particularly excited for. It’s a bundle that targets all noncommercial public and community radio programmers globally. So we often get asked on how to reach things like CBC and NPR and the BBC, and this international bundle is going to be way for artists to easily kind of solve that problem. The response and feedback from clients so far has been very good and we are really excited about additional bundles we can offer in the future. Our goal for this year is to learn even more about our recipients and grow these offerings to make sure that they are getting the content they need and our artists and labels and users have an outlet for whatever they are trying to put out. Speaking of international growth, I wanted to update you quickly on our progress in the Latin space. Growing in this segment has been a priority for us, I know we have discussed it pretty regularly on these calls in the past and we are seeing that growth come about more and more. Last quarter, we spoke about focusing on Mexico as our lead territory in the region and the first step there has been expanding our network of recipients and then once they are expanding, making sure they are active within the platform. Similarly to how we have grown in other territories, it’s a little bit of a chicken or the egg situation where we want to encourage new and existing clients to send their content to these lists, but we need to make sure there’s activity on the recipient side to deliver value for those clients and keep that content coming through. We were able to grow active recipients in the Latin space by 13% this quarter and one thing to keep in mind while looking at active user growth is that a product like Plan B is still a relatively new concept to a lot of radio programmers in the Latin market and this requires a little bit more of an education process than some other territories would and that leads to a slightly longer onboarding process. With recipients growing and becoming more active, we are now working to make sure more and more content is being delivered and that our existing clients and new clients are knowing their lists are for them and that they are utilizing them as much as any other. One last point I wanted to highlight is the revenue growth we have seen from Warner Music Group. For the quarter, U.S. revenue from Warner was up more than 40% from the prior year and that’s thanks to increased usage from some of Warner’s subsidiary labels like Atlantic Records, Rhino records and also a large quarter from Warner Music Nashville. On a global scale, the Warner offices in Norway, New Zealand, South Africa are all increasing their usage as well and as we discuss things like global efficiencies that Plan B can offer, seeing more and more Warner associated labels and territory offices utilizing the platform. It gives us a great opportunity to connect some of those dots and become an even larger part of their global workflow moving forward. And when we start to think about things like global workflows and how we can improve the product to meet those needs, it comes back to the overall strategy that Fred has mentioned in the past. And I will pass it back over to him now to discuss that in a little bit more detail and talk about looking forward.
Fred Vandenberg: Thanks, Allan. Looking forward, this probably is nothing new to longer term investors, but our focus really is in investing in the product platform development and that really is in three different ways that one way is to increase our sales, increase the lead conversion; another is to add selectable new features that are more in the true SaaS sense of revenue where we have monthly recurring revenue; and then the last is distinct products. Sometimes there’s a little bit of overlap in these last two things, but sometimes there’s a clear distinct product that can stand on its own. With that, one of the things you have seen in our expenses, probably, in the 10-Q is a little bit of a shift from sales and marketing to platform development -- product development and that is really to emphasize how we think we will be able to grow in the future. Some -- in some ways we will let the platform do the lifting for us in terms of marketing business development. With that, I don’t want to talk too much about what’s happening in the near future, because you will see some press releases come out in the very short-term, but we have 1 new feature that is launched and is in beta testing. This is one of those features that will be a true SaaS feature, but we expect it to be two things. One, there will be a free version that is limited in its use, but we expect that to help attract use into Plan B generally and then there will be a premium version of it that we hope to sell as a subscribable feature. I think I just invented a new word there. We have also soft launched our monitoring service. Again, I don’t want to talk too much about it, because there will be a press release coming out. But this is a separate and distinct product albeit with a great deal of overlap with our existing customers and actually our recipients -- on the recipient side as well. We have received some questions throughout the day and I have hoped we answered some of them as we go. I want to preempt one of them and it’s really a question about full-service versus self-service revenue. Full-services where our team does prepares the release and sends it out and where self-service is where we are just really providing the platform and the customer has full control over the distribution. The implication about what the question is really -- it’s really a question about margins, and intuitively, that makes sense because if we are doing the work, the margin won’t be as strong. I would say that’s generally true. You probably need to carve out Universal when you are talking about that. But generally, two-thirds of our revenue is self-serve. Again, when you carve out Universal that ratio flips where then two-thirds of it becomes full-service revenue. So the question really is how we are making progress on moving people over to self-serve, so our margins become a little bit stronger. And I don’t think this is generally how I would look at it. I think, there’s a few things that we probably need to do to move customers over to more self-serve. One is the easy to use release creator, I think we are there and we have talked about that in the past. One is easily selectable lists with good descriptions of them. We have actually been working on that and I think we will be releasing that imminently. The other two things are a self-sign-up and self-checkout. That’s where you can pay within the platform. You can quote yourself and pay with a credit card. Those things are on the product roadmap yet. But if we are really looking at this ratio of self-serve to full-serve customers. I think it’s really a question of growth. We would like to move people over to more self-serve to grow those margins. But I think the focus here really is one of how its impact will be on growth and how quickly will accelerate revenue. Some of you will see that we made a change in leadership in the quarter in that department and that’s really to help get things across the line. I can move them over the line and get them delivered and I think you will start to see a real palpable increase in the cadence of press releases in that regard. I think there will be a greater alignment of product priorities with the company’s priorities. When we look at product development, we really assess the return on the quantum of how it will impact the financial performance of the company, the probability that, that impact will come true and then we prioritize on that. I think there’s a delay -- typically there’s a delay in our investment and the return. That does vary depending on the product feature. You will see over the last several years our investments have been really heavily centered on our global infrastructure. Those are all the global distribution features that provide significant economies of scale and significant efficiencies that are really focused on benefiting Universal’s distribution process, but now I think you will see things that will start to toggle over the revenue. And with that, I will turn it over to Q&A. Actually, before I switch it over to Rebecca, we did have one question that I will address and that was with respect to the litigation with the former CEO? The former CEO has terminated now almost six years ago. That case is still pending. It’s been delayed now for the fifth time, just we were scheduled to go to trial next month and it’s delayed again by -- from the litigant. And I think there’s probably good reasons why he wants to keep delaying, and ultimately, it’s not a distraction for the company. So it’s a bit of a who cares and we will just -- we will evaluate what we do with it over the next little while. And with that, I will turn it over to Q&A.
Operator: Thank you, Fred, and thank you, Allan. Yes. So we will now have our question-and-answer session. If you do have a question, please press the raise hand option at the bottom of your screen and then your questions will be pulled in the order that we have receive them and if you -- just make sure if you are raising your hand that you have access to your microphone and once we call your name then you can unmute your microphone before speaking your camera will remain off. So, yeah, if you have any questions, please raise your hand. Okay. Maybe we don’t have any questions today. We actually do, sorry, have a written in question, Fred, if you want to address that one I can read it out. How has Canada performed in terms of usage/revenue? It’s a question in the question-and-answer box.
Fred Vandenberg: Allan, do you know that off the top of your head? I think it’s -- we have generally been making progress, but I mean maybe I will turn that one over to you.
Allan Benedict: Yeah. As far as numbers of releases and numbers distributions, I would have to grab that info an earlier time. But overall in Canada, prior to really breaking in or breaking out distribution list by format in Canada. We saw a lot of Canadian clients sending outside of Canada, sending to other lists and looking at it more outward than inward. So over the last year or so we put a big focus on trying to capture that within Canada distributions and we have made progress there. With major labels in Canada, it is a slower moving transition. It’s -- as you have probably seen in some other territories, it is tough to get a large multinational that changed something that they have been doing for a long time, but we have found more success targeting independent artists and some of the independent promoters. Without going into too many details of them, we have arranged exclusive agreements with a few different independent promoters, one of them being with the bullet whose usage continues to skyrocket and we are treating them as kind of champions in the market. So they are recommending us to their artists. They are recommending us to the labels to hire out in them, and we are making progress there. So it’s a slower process and I am sure we would like, but we are seeing more of those independent promoters and more of those independent artists come to us for their needs, not only going internationally, but within Canada as well.
Fred Vandenberg: Yeah. I want to -- I will probably add a little flavor to it in general how we approach it. The -- when it comes to a market like Canada, we are trying to displace what was an entrenched competitor. Now we do things -- we are very confident that our platform is quite a bit better. But then the question is how do you -- what’s the balance, what’s the trade-off is -- are the ease-of-use features, improvements in lists, all the features that make us better, are they enough to toggle over a platform that’s been in use for quite a long time? And so that’s what we are trying to do, and we have been successful to-date, maybe not as fast as we would like. But it’s -- when we are investing in product, I think, we will continue to invest in things that will help in this context. So that will help catalyst -- this will be a catalyst to sales. Certain things will be a catalyst of sales. Certain things will provide new products and services to customers that maybe make it easier to have one service providing two different things that they need. So we think that we are quite a bit larger than the Canadian competitor in terms of this segment and we invest a lot more and we think that eventually will win the day.
Operator: Okay. Great. I don’t think that there is any other questions.
Fred Vandenberg: Okay. Thanks, everyone. A quick call today. We will see you in a few months.